Operator: Good morning, and welcome to the UnitedHealth Group First Quarter 2025 Earnings Conference Call. A question-and-answer session will follow UnitedHealth Group's prepared remarks. As a reminder, this call is being recorded. Here are some important introductory information. This call contains forward-looking statements under U.S. federal securities laws. These statements are subject to risks and uncertainties that could cause actual results to differ materially from historical experience or present expectations. A description of some of the risks and uncertainties can be found in the reports that we file with the Securities and Exchange Commission, including the cautionary statements included in our current and periodic filings. This call will also reference non-GAAP amounts. A reconciliation of the non-GAAP to GAAP amounts is available on the Financial and Earnings Reports section of the company's Investor Relations page at www.unitedhealthgroup.com. Information presented on this call is contained in the earnings release we issued this morning and in our Form 8-K dated April 17, 2025, which may be accessed from the Investor Relations page of the company's website. I will now turn the conference over to the Chief Executive Officer of UnitedHealth Group, Andrew Witty.
Andrew Witty : Good morning, everyone. Thank you for joining us today. UnitedHealth Group started 2025 in two seemingly disparate ways. One, continued strong growth across our businesses. Our people are providing more health benefits and services to more members and patients as the market responds to our distinct offerings. The other way, however, was an overall performance that was frankly unusual and unacceptable. As you saw in our release, we're revising our adjusted earnings per share outlook for the year to $26 to $26.50. This morning, we'll detail for you the factors driving our revised outlook and how we plan to address them. I'll start with performance, which was impacted by two broad factors in our Medicare businesses: care activity and member profiles. It's important to recognize UnitedHealthcare and Optum are distinct businesses with different models, markets and products. In addition, Optum's Medicare business is multi-payer and not limited to just UnitedHealthcare members. Given these differences, changes in care activity and member profiles do not always follow the same patterns and can result in different impacts to each business. The respective teams are urgently responding to our performance challenges. Starting with care activity. In UnitedHealthcare's Medicare Advantage business, we had planned for 2025 care activity to increase at a rate consistent with the utilization trend we saw in 2024. Instead though, first quarter 2025 indications suggest care activity increased at twice that rate. Increases in physician and outpatient services were most notable and inpatient to a lesser extent. This increase in care activity was limited to our MA business and was not a factor in our commercial or Medicaid businesses. Care activity trends in those areas were as expected. Turning to member profile. Unanticipated changes in our Optum Medicare membership is impacting 2025 revenue. We added more new Medicare patients to Optum Health, a portion of whom were covered by plans that were exiting markets. They experienced a surprising lack of engagement last year, which led to 2025 reimbursement levels well below what we would expect and likely not reflective of their actual health status. Additionally, many of the current and new complex patients we serve are more affected by the CMS risk model changes that we are in the process of implementing. To be sure, it is complicated, but we're not executing on the model transition as well as we should. We must and will work to better anticipate and address these factors. Here still early in 2025, we believe they are highly addressable as we look ahead to 2026. Let me now talk specifically about what we're doing. First, we're ensuring the complex patients most impacted by the previous administration's Medicare funding cuts engage in clinical and value based programs. Second, we're consistently engaging with members in their homes and in post-discharge settings. Engagement remains the key. Third, we are appropriately assessing and updating the health status of new patients, especially those at high risk levels. Fourth, to more effectively transition to the new CMS risk model, we're investing significantly in improving physician clinical workflow to help ensure better care and timely insights on when and where care is most efficient and effective. Finally, our Medicare Advantage plan designs and pricing for 2026 will be fully informed by these trends. While we are decidedly unsatisfied with these results, our growth and foundation for improvement remains solid. UnitedHealthcare's Medicare Advantage business is on pace to serve an additional 800,000 people this year. Optum Health is on track to add 650,000 net new patients to value based care arrangements. In Medicaid, we are growing and continue to see positive momentum in closing the gap between people's health status and state rates, and we are very appreciative of our state customers for the ongoing productive discussions. Within Optum, so far this year, Optum Rx is off to a strong selling season, characterized by new wins as well as high retention of long-term customers. The growth of Optum Rx underscores the vital role that PBMs play in helping to reduce the price of drugs for consumers and the value that sophisticated purchases of healthcare, the employers, unions and governments see in our efforts to counter the high prices set by drug manufacturers. And to ensure that people have convenient access to high quality affordable drugs. That's more important than ever as drug manufacturers continue to increase what they charge Americans, in some cases, 10x what they charge people in Europe. The growth at UnitedHealthcare and Optum reflects the efforts of our 400,000 colleagues who come to work every day, thinking differently about what is possible, advancing new products and ideas while constantly refining existing programs, working to make things better for the people we are privileged to serve. Our team continues to innovate to make accessing care easier. For example, our newest tools have sparked a more than 40% increase in digital engagement among our senior members through the first quarter. We see evidence of this in sharply higher and earlier wellness visits to their primary care physicians, with total visits in the first quarter running far above the year-ago period. This will help members better manage their health and promote early detection of emerging issues. Further, Medicare Advantage also costs taxpayers less and delivers more to seniors than fee for service Medicare, especially in value based care arrangements. An essential approach in achieving both health outcomes and lowered costs is ensuring people get the care they need when and where they need it. And a good place to understand those needs better is in a seniors' home. Our HouseCalls program does just that. HouseCalls, which is only available in Medicare Advantage, provides a thorough in home clinical visit at no cost to seniors. Following CMS' best practices for such care, our clinicians review a patient's medical history and current medications, conduct comprehensive physical exams, provide lab tests and screenings and coordinate necessary follow on care. HouseCall's clinicians closed millions of care gaps last year, helping people stay out of the hospital and the emergency department and referring those in need to appropriate social services to help them live healthier at home. This is Medicare Advantage innovation and value in action, helping drive proactive preventive engagement with the health system rather than more expensive reactive acute care. These benefits and innovations and their value to seniors and taxpayers will put an unnecessary risk by funding cuts in recent years to the Medicare Advantage program. While we continue to navigate those funding cuts to seniors benefits, it is significant that the recently released 2026 rate notice begins to reflect the accelerating care cost trends we've experienced for some time. This will provide much needed relief to seniors and reflects policymakers' understanding of the importance and the popularity of Medicare Advantage. Our work to deliver a better experience for people and lower costs spans our enterprise as it always has. Just within the last few weeks, we've introduced several initiatives that will help people in their health care journeys. Optum Rx will remove prior authorizations on 80 drugs accounting for more than 10% of our pharmaceutical prior authorizations. And Optum Rx has aligned payment models to pharmacies more closely to their cost for drugs. This helps pharmacies manage the ever increasing prices charged by drug manufacturers, enabling pharmacies to stock more medicines and ensuring more consistent pricing and access to medicine for consumers. 26 million consumer calls were more accurately directed to the right advocate by an AI agent, improving the consumer experience and reducing wait times. We expect AI will direct over half of our calls to the best resource during 2025. All of these efforts are making things simpler and easier for consumers and providers, a goal we share with all health care stakeholders. Yet, we all have to contend with the stubborn fact that health care costs more in the U.S. than it should, even beyond the widely recognized disparities in drug prices. Common procedures such as heart bypass surgery, spinal fusions and heart stents are 4x as expensive in the U.S. as they are in Germany, Australia and the UK. Total hip replacements are twice as much. It's simply not sustainable. As we have made clear, we are as committed as ever to continuing down the path of transparency and affordability, ensuring that Americans get the health system they deserve. With that, I'll turn it over to John, who will discuss first quarter performance and full year outlook in more detail. John?
John Rex : Thank you, Andrew. I'll start by walking through several updates to our ‘25 outlook and then elaborate on the reasons for them. As Andrew said, we now expect adjusted earnings of $26 to $26.50 per share. It's an outlook that I'm extremely disappointed to share with you. This reflects the profile of patients served at Optum Health. It also reflects significantly increased care activity across the UnitedHealthcare Medicare Advantage plans. Within that outlook, we expect about 50% to come in the first half of the year. We're affirming the consolidated revenue outlook of $450 billion to $455 billion we shared with you in December. Within this, we expect revenues for both UnitedHealthcare and Optum Rx to be better than our initial view, offsetting a reduced outlook at Optum Health. The full year medical care ratio is now expected to be 87.5% plus or minus 50 basis points, reflecting higher utilization across senior populations and the patient mix and revenue profile of Optum Health. Within this range, expect the first half of the year to be below the midpoint and the second half to be above. At Optum Health, our revenue outlook is $106 billion to $107 billion and operating earnings is $6.2 billion to $6.4 billion based on the factors discussed and which I'll get into more deeply in a moment. Over half of the $10 billion revenue change is the result of transitioning some legacy risk based arrangements to fee base and is neutral to earnings. We expect about half of Optum Health's operating earnings to be in the first half. At UnitedHealthcare, the operating earnings outlook is updated to $16 billion to $16.5 billion and reflects the higher care activity we're seeing. Within UnitedHealthcare, pressure was largely contained within the senior business where we saw a sharp increase in care activities that became apparent as we closed out the quarter. As noted, this was most significant for both physician and outpatient care and to a lesser extent inpatient care. In years past, this is an insight we may not have picked up until the second quarter, so it is useful to have the information with ample time to incorporate into our 2026 planning. In the quarter, we experienced percentage increases in care activity about double last year's level. Unit prices behaved as expected. Let me start with the obvious fact that it is early in the year and we don't know everything that might be driving our experience or how long the increase in care activity might last. But care activity was broad based across our senior individual and group populations. One example, in group MA, member retention was about 98% and as a result serves well as a same member metric. Here we observed significant increases in elective care activity in the first quarter. Of note in this population, we believe the behavior may have been impacted by the meaningfully higher member premiums, which were driven by the Medicare funding cuts. Another example across senior populations was the earlier and higher wellness visit activity we saw, which of course drives specialty and outpatient utilization. Some of this may be a seasonal shift in consumption patterns as wellness visits happen once a year. Turning to Optum Health, as it relates to the patient profile, we experienced a couple of key elements here. First, growth in certain markets where there were meaningful plan exits. These new patients had not been engaged by their prior plans for most of last year and we're seeing revenues associated with the patient profiles meaningfully below expected and normal levels. This is very addressable. Second, the ongoing execution to the new CMS risk model, while complicated given the multiyear phase in, has not been to our operational standards. Transitioning to a new model and concurrently running two distinct versions has been more operationally complex than anticipated. But no question, we need to execute better and we will. Across the enterprise, we continue to focus on operating costs to help mitigate external pressures, while ensuring our workforce aligns to the areas of greatest opportunities and customer needs. Looking ahead, we see a long runway for further technology advances that will translate to more and sustained operating efficiency, which in turn drives opportunity for further innovation and advancements in the company and across the industry. Before we get to Q&A, I want to provide a few business highlights. At UnitedHealthcare, we still expect to serve up to 800,000 more people in Medicare Advantage this year across our individual group and dual special needs offerings. This underscores our long standing commitment to stability and differentiated value. Our growth demonstrates UHC's deep relationship with our members. People served by our community and state business increased to $7.6 million. We continue to have growth momentum with recent service expansions in Kentucky, New York and Florida. We're also encouraged by the updated Medicaid rates so far in 2025 that more closely align with underlying member acuity, but funding remains insufficient to meet the health needs of patients. Commercial self-funded membership increased by approximately $700,000 in the first quarter, a result of our continued strong product innovation. Commercial insured membership was impacted by the individual exchange products. Our disciplined pricing approach remains consistent and as a result, we experienced some member attrition. Overall in our commercial book, we are encouraged by the early ’26 selling season indications, which are showing strong retention rates. Turning to Optum. At Optum Health, we continue to expect to add 650,000 new value based care patients this year. We're working to engage with these new members ever more rapidly. By the end of ’25, we expect to have about 5.4 million value based care patients. At Optum Insight, we have a pipeline of new products coming to market this year with exceptional customer interest. For example, in the first quarter, we launched AI powered claims efficiency tools that increase productivity by over 20% for our revenue cycle management customers. Lastly, Optum Rx revenues grew 14%, exceeding $35 billion for the quarter. Both customer retention and new customer wins contributed to script growth of 3%. As Andrew noted, performance in the quarter was below the standards we expect. But with disciplined and urgent execution and attention to detail, we expect a return to form in the quarters ahead. With that, I'll hand it back to Andrew.
Andrew Witty : Thanks, John. Even with the growth of our -- I'm sorry. Even with the growth our people generated this quarter, this was far from the performance we expect of ourselves. We're acutely aware it's a privilege to be a part of an organization with the capabilities to make a meaningful contribution to modernizing and simplifying the health system. And we're committed to improving our performance in the rest of 2025 and into ‘26. And in doing so to delivering consistent positive results for you and returning to our long term earnings per share growth target of 13% to 16%. With that, we can now turn to your questions. Operator?
Operator: [Operator Instructions] We'll take our first question from Justin Lake with Wolfe Research.
Justin Lake : Thanks. Good morning. My question is on Medicare Advantage cost trend. You said that you came into the year assuming trend at similar levels 2024. Can you share with us precisely what that trend estimate was? Meaning, what did you expect for this year? And what are you expecting now? And can you tell us how much of that you actually saw in the first quarter? For instance, how much did you miss your MLR by, your own estimate of MLR? And how much you are expecting that to accelerate or how different the back three quarters is versus what you saw in the first quarter? Maybe I’ll jump the margin on the --
Andrew Witty : Yeah. Justin, thanks so much for the question. I'll ask Tim Noel to respond just in a second in detail to your question. I mean, obviously, it's still very early in the year, but we have clearly seen a pickup in trend in a specific part of the UHC business again, the senior business. Tim will talk a little more about that to you in a second. It's still early, still even our first quarter is only partially complete, but unusually we've seen this pickup and which is what's obviously influencing our position here. So let me get ask Tim to give you a little bit more detail on that.
Tim Noel: Good morning, Justin. Thanks for the question. Yes, I'll attempt to break it all down for you here. So as was mentioned in the opening remarks, in 2025, we anticipated care levels consistent with what we observed in 2024, which felt appropriate as we stepped into the year. And what we were assuming and if you think about this as units consumed, we're assuming that in 2025, we'd see a similar increase by that metric that we observe in 2024. And if you break that down in the Medicare book, you can think that in total in terms of total trend drivers, about one-third of that is related to increase in care activity or units consumed. And what we are seeing and again that's focused on physician and outpatient, but driving an overall 2x increase in that level of units consumed in Q1 of 2025. And again, that metric is about one-third of the total trend drivers in the Medicare book. We are seeing that inside of the first quarter of this year, but we are making the assumption right now that, that trend will persist throughout 2025 and then also making the same assumption that it will persist into 2026 and that will shape our overall pricing assumptions. Now some of the drivers that John mentioned behind what we're seeing. You might presume that some of those would result in a change in our seasonal consumption patterns. But at this distance, we feel like we need to make the assumption that that activity will persist throughout the year and into 2026.
Operator: And we'll take our next question from Josh Raskin with Nephron Research.
Josh Raskin: Hi, thanks. Good morning. Can you help us connect the higher incidence of primary care visits and the Optum Health pressure? I assume you don't have that that primary care issue in Optum Health, which should also mitigate the downstream impact. So why are you expecting the higher follow through if you control primary care? And then based on the fact that you're seeing worse performance in Optum Health or value based care, could you remind us why you think you can control cost better in that environment and it's probably a good time to get the refresher on why the strategy to allocate a lot more capital to VBC in the ecosystem totally is best in long term?
Andrew Witty : Yeah, Josh, thanks so much for the question. So I'm going to ask Tim just to address the first part of your question, then Amar to talk a little Dr. Desai to talk a little bit around the Optum Health experience during the quarter and the differences of what we're seeing there and the like. And as I said in my commentary at the beginning, the businesses do operate very different kind of models and it's not completely surprising to see somewhat different experiences. And then I'm going to ask Heather to just do as you kindly requested a kind of refresher on the value based care position. So we'll do that also for you. So bear with us. This sounds probably going to take a little a few minutes. But Tim, if I could ask you to start and then we'll pass over to Dr. Amar Desai.
Tim Noel: Yeah. Thanks, Josh, for the question. So yeah, let me just dive in a little bit with a little bit more detail into some of what we're seeing that's driving the increase in care activity. Now let me start with our fee for service, so kind of our non-capitated community MA members. We have seen increase in physician outpatient care activity in that population. And one of the dynamics that we're seeing is they are generally seeking more preventative care, which is a good thing and that also includes more in home visits, more in home clinical assessments. And that in and of itself really not the trend driver, but it's the follow on care that is more than what we have anticipated and that constitutes specialist visits, physician specialist visits as well as some other outpatient services. A dynamic at play in our group Medicare Advantage business is we are seeing a significant and disproportionate increase in utilization, largely within our public sector group retiree business. And this is a population that experienced the greatest year-over-year premium increases. And while we've seen a similar dynamic play out historically in our individual Medicare Advantage business when premium increases have been in play, we've really never seen this dynamic before in the group MA business. I mean, we're seeing it because of the pressures related to the Medicare funding cuts that are really driving up premiums in the group retiree business like they really never have before and kind of think groups with premiums going from $50 to $200. I mean, we did assume that we would see some care activity level increases in this population, but we're seeing far surpasses what we would have recently anticipated. And in that population as well, we are seeing more preventive care, more annual wellness visits, more in home clinical assessments. But again, the driver there also being really the follow on care that results from that.
Amar Desai: Thanks for the question, Josh. So, the results for Optum Health, to be clear, were impacted by the profile of new value based patients in Optum Health and the second year of the V28 phase. And we're taking actions to proactively address these issues. Our patient profile post AEP included many new to Medicare as well as new to Optum Health who are meaningfully less engaged by their prior health plans and providers. We believe that market specific plan exits driven by V28 caused this dynamic and because of the strength and stability of our provider network, those patients chose Optum Health. Member profile challenges were not specific to any single Medicare Advantage carrier and occurred in multi payer geographies like Texas and Washington. Additionally, we underestimated the impact of V28 in particular as it relates to the higher acuity structure of our patient population, which is more impacted by the risk model change. Our planned actions around operating cost containment and medical expense management were not able to offset the cumulative impacts of V28 and the new member profiles. As it relates to care patterns for Optum Health, in general in Q1, we see as a busier time for our physicians as we are engaging our patients. We've already engaged over 50% of all members and 75% of our complex members. This year, it's particularly important given the member profile of new Medicare and new Optum Health patients. Also within Optum Health, we're seeing some elevation in outpatient behavioral utilizations. Again, we're taking incremental actions above and beyond what we've planned for any year to improve performance. First, enhancing access for employee to network PCPs, especially around new patients to diagnose document and treat conditions. We're expanding home based revisits and wraparound services, particularly as it relates to post discharge visits after inpatient care. And as Andrew alluded to, we've accelerated EMR unification, deploying smarter clinical workflows and point of care tools to better adapt to the V28 related changes? Thanks for the question.
Andrew Witty: Great, Amar. Thanks so much. And let me ask Heather to maybe just take an overview of the value based care proposition and why we continue to believe so strongly in it.
Heather Cianfrocco : Sure. And just I think what you're seeing here is, as Andrew said, you've got two different business models here and it's important to keep that in mind. Couple of things I'll just point out. Again, in Optum Health capitated experience, this is specific to senior populations and our experience in a unique environment, mindful of again what's a new risk model, a year two risk model. And keeping in mind what Dr. Desai said, we assume and anticipate certain physician activity in the first part of the year. And that's part of our model because it drives not only that, that diagnosis, but the treatment so we can understand the gaps in care. So that's part of the plan and I think that's why you don't you it's a little different story in Optum Health. But as Dr. Desai said, we need to be mindful of that, particularly based on two years of elevated care activity, coming into this year. Now to your point, the outcomes based model or what we call the value based care model should naturally offset some of that for a few reasons as Dr. Desai mentioned. Number one, engagement is key, and that early engagement by a network that's aligned and activated, can better identify gaps in care, manage them, and support higher preventive health care and reduced emergency visits and hospital visits. In addition to that, what's unique about Optum Health's model is the wrap around services and the in home services, which not only help assess our members in the home, but they're able to then kick off things like post-discharge visits, high, the more acute condition management programs They're critical to those transitions of care and help reduce total cost of care and naturally offset some of trend, but in addition to that result in a better health outcome for our patients and a better experience and help them with a healthier life. So those are kind of the basis of our model. You then wrap the integration of our behavioral health into our model, which is increasingly more an integrated part of our care delivery systems. That's what I think is differentiated about the model. And even though to be incredibly direct and respectful of this year, we will see the impact of the revenue, through the year. But the differentiated value based care model has meant growth for Optum Health above industry in the past and we believe you'll continue to see that. Why is that? Because again, a better care delivery model, a better experience for our patients, but in addition to that, we see very high retention. So these members that need the services, that have higher acuity, that need a more intensive care model, they stay with us. And so the work we do today will support the growth in '26, and that's why we're confident in not only the growth in '26 from a membership perspective, but because there's more members to serve out there. In many cases, we're serving few of the seniors in any respective geography and we have more capacity in our network. But in addition to that, it supports our performance. Now I'll just note one last thing and that is, I think through the year you're going to watch us pace that. While we're still committed to our membership growth, we're going to be looking at particular geographies pacing through that to ensure that we're focusing on the new membership with our PCP network and with our in-home services.
Andrew Witty : Thanks, Heather. And I think Josh, I really appreciate the question and thanks everybody for allowing us to respond to that sort of as fully as we can. I mean, just maybe add a couple of comments to that. To that last set of comments from Heather, when we look into and you've often heard us talk previously about cohorts of members who choose to join Optum Health value based care. What we're seeing in those earlier cohorts going back to say 2023, for example, those folks who first came in and started to benefit from our value based care approach. We're seeing on all basically all metrics outperformance in terms of the way in which that cohort and cohorts before them have performed. So what we're seeing here is not really a challenge to the underlying principle of value based care. What we're seeing is how to adjust to a very dramatic price cutting regime that's been implemented over the last couple of years by the administration. And it's important to recognize that that was across the average of the industry independent analysis would say that was about a 9% price cut across the industry. Now that's a significant downdraft in terms of pressure. And obviously that affects participants whether you're a payer or a provider in the marketplace. And you've seen that effect over the last first year. We're now well into the second year of all of this. And what we're seeing during the second year is some of the let's call I would call them second order derivative effects. So I'll give you just a couple of examples of that. You've heard one very explicitly and we've mentioned the other already on the call. So second order effect would be, for example, as this pricing pressure has continued to press down alongside a series of underfunded rate increases. You've seen premiums and benefits start to be affected in the marketplace. Group premiums have gone up because of these price cuts. That is now driving a different behavior from group members and that's what we've picked up in this area. And we need to do a better job of being able to predict and anticipate the second and third order effects when they come, but they are direct consequences of this transition. A second one, which we referred to and is really important within the Optum Health story for 2025 is plan exits. So we saw a very significant increase in the number of plan exits across the country last year. As plans chose to respond to the price cutting pressure by essentially withdrawing their offer in multiple geographies across the country. And what we've seen is in unusually complete vacation of offers by certain plans. So to put it a different way, 100% of participants in a particular payer's plan had to find a new home. They had no way of staying in their old home. They had to find a new home. And what we saw when they came to us where we were still offering a plan option, we saw those members had not had the level of engagement in the prior six, eight months before they vacated that plan at the level you would have expected. That has a direct consequence on how they are understood in terms of the reimbursement model of the system. And that's what's driving a lot of our issues in Optum Health this year. But again, that is a temporary phenomena, which gets fixed during 2025, but it is simply an example of one of the second order derivative effects of the transition of absorbing this 9% or more percent decrease in pricing. None of that really speaks to the value of value based care. Value based care delivers a completely different approach of trying to ensure people have more years of health and less years of approach of trying to ensure people have more years of health and less years of healthcare acute treatment, trying to get ahead of the illness, trying to avoid the high cost consequences of late diagnosis and tries to make sure that we are encouraging people to think about healthy lifestyle, early engagement, making sure that we're heading off problems before they arrive. And we know that works based on multiple cohorts of patients that we've been privileged to have the right to manage. What we're going through, like the rest of the industry, is a dramatic, really never seen before adjustment in pricing for this marketplace. And what we're seeing this year is two or three areas where the pressure that, that has created across the market is creating new dynamics we haven't seen. That's exactly what we're responding to here and we believe that they are largely addressable as we go through the rest of this year and in no way undermine our confidence in the value based care strategy of the company. Josh, thanks so much for the question and I'll move on to the next question.
Operator: Our next question comes from A.J. Rice with UBS.
AJ Rice: Thanks. Hi, everybody. Just to put a finer point on some of this discussion around especially what's happening at the MA side, it sounds like you're saying most of the elevated care that you're seeing is on the group side. And it sounds like you're putting more of that on the benefit and premium changes that have occurred rather than just an underlying uptick in utilization. I want to make sure I understood that. Also on the competitive exits and the impact of that, it doesn't sound like you're calling that out on the insurance side, you're just calling that out on the Optum side. And then finally on Part D, you had been cautious about that coming into the year, but you're not mentioning that at all. So is that playing out about as expected?
Andrew Witty : AJ, thank you so much for the question. Let me ask Tim to respond.
Tim Noel: Yes. Good morning, AJ. Thanks for the question. Yes, so I'll hit those last two pieces first. So yeah, you're correct. We are really seeing this focused on our community Medicare Advantage and group Medicare Advantage books. So we're not seeing it on our chronic special needs population or our dually eligible population. Also, not seeing this care activity pattern in our newer members, either new to Medicare or new to United. And the care activity items that we talked about last year, provider up coding and some of the pressures on specialty drugs, I'm not seeing that play into this either. Those elements are both tracking very much in line with how we've planned. And when you think about the split, it is slightly more pronounced on our group business. But if you think about our overall fee for service business, it's just I would say just slightly more than the contribution that you'd expect on the group side. And while we certainly do see trends that suggest that where the premiums have increased and members are paying a high portion of that that is where we're seeing this pointed pressure on care activity on the group business. However, it's very likely that some of the same underlying trends that are generating higher care activity patterns in individual community MA are also at play in the group business.
Operator: And our next question comes from Lisa Gill with JPMorgan.
Lisa Gill: Thank you very much and good morning. Andrew, I just want to go back to the path to the long term growth rate. You reiterated that you feel confident you can get back there. With the 2026 rates looking better, we're going to move into the final year of V28. How do I think about what the key elements are to get back to that long term growth rate?
Andrew Witty : Yeah. Lisa, thanks so much for the question. So yes, so clearly, we were pleased to see the beginning of recognition of rate increases, which actually reflect reality, which we haven't seen for last couple of years. But hopefully that will continue to be the stance and the data will drive that in the way we saw this year. So very, very pleased to see that. Also pleased to see in the Medicaid books of business come to continue to see great engagement with states that they also adjust to make sure that those rates are appropriate for what we're seeing. So those are important. Obviously, next year, there will be a further step down in terms of pricing from the V28 model. So we can't ignore that. That's clearly a reality. But the way we'd look at this, Lisa, is that we are very, very much -- we see very much the end of this transition period in terms of having to absorb the amount of pressure. I mean, clearly, we're a leader in all of this marketplace. We're taking almost certainly a bigger fraction, if you will of the pressure because of our market leadership position here. We feel like we're very much getting through this. We obviously this year have picked up these two or three second order derivative effects, which we're going to do a much better job of anticipating and managing for as we go into 2026. And we think that an awful lot of the issue that we're seeing early in ‘25, we can fix in 2025 and help us deliver stronger performance for ‘26. And we expect that to then be a kind of ramp into reacquiring our target growth rate momentum that we aspire to as an organization. Thank you very much. Next question?
Operator: And we'll move to our next question from Stephen Baxter with Wells Fargo.
Stephen Baxter: Yeah, hi, thanks. Just a follow-up on the trend discussion. Could you talk about where MA margins are now expected to shake out inside your 2025 guidance? And what you think is a reasonable timeline for covering the target margins? And whether there's any change to what you're thinking is as a reasonable long term margin target in this business post V28 and some of the issues you have adapting to it? And then again, the confidence level you can improve any margins in 2026 if trends stays at this level?
Andrew Witty : Stephen, thanks so much. I'll ask Tim to respond to that.
Tim Noel: Thanks, Stephen, for the question. So the margins that we're anticipating consistent with the changes we've announced today are still within our targeted margin range for Medicare Advantage for 2025. As we look forward to 2026 and we include the increases in care activity that we're seeing both in the 2025 portion of our bid and also pricing for 2026. At this distance, we can accommodate those care activity levels and return to the historical planning target levels that we've always historically assumed.
Operator: Our next question comes from Erin Wright with Morgan Stanley.
Erin Wright: Great. Thanks for taking my question. So on the policy front, I guess, what is your latest thinking in terms of just PBM reform? Your model has obviously evolved on that front, but also Medicaid funding cuts and what sort of permutations you could anticipate there and your ability to navigate that?
Andrew Witty : Yes, Erin, thanks so much. Let me ask Patrick Conway to respond to you on the PBM side and then Chris to maybe make a couple of comments on Medicaid, if that's okay. So Patrick?
Patrick Conway : Yes. Thanks, Erin, for the question. So first, in terms of policy, we are leading in the marketplace with transparency choice and affordability. And we've had three major announcements that I think both help drive the policy environment, but also are a reason we've had significant market growth. 100% commercial rebate pass through. First, large PBM to do that. And you're seeing that drive positive reaction in the marketplace and it's removing any lingering doubt about our incentives. We want lower list prices and lower net prices as Andrew said. Second, removing 25% of prior authorizations over 10% of reauthorizations over 10% of prior authorizations making the system simpler, better, easier for consumers and clinicians. And then third, cost based reimbursement for pharmacies. And it's really important to know this is for all pharmacies, all drugs, all clients rolling out. Already started rolling out and put across the entire book. And you heard from independent and community pharmacies their support of these changes. The last thing I'd just call out just because it's new and it concerns us significantly is the Arkansas Legislation that the governor signed yesterday around PBM and pharmacy ownership. We're honestly not sure what problem they're trying to solve, but let me be clear on the impact on patients. When you do that, we have Genoa pharmacies in the state providing integrated mental and behavioral health care. This could cut off access for those patients with things like schizophrenia, severe depression. You have specialty medicine, where we may have been serving a patient with cancer for years and imagine that patient now not getting their medicine in their home. You have home infusions for elderly Americans, where they may not be able to get out of their home and we're providing their medication. And you have home delivery for people in rural parts of Arkansas. We're significantly concerned on about this. We'll work with the state in the regulatory process post legislation to try to address those populations and maintain access. But we want you to hear clearly from us that our concern is about patients and maintaining access to patients across the nation to these medicines.
Andrew Witty : All right. Patrick, thank you. Krista?
Krista Nelson: Yeah. Thanks for the question. So on the Medicaid side, I think we won't speculate on any really specifics, but, what I do want to emphasize is just regardless of any changes, our priority remains the health of our members and ensuring that they have access to high quality coverage. As it relates to our business, we have a really broad footprint across 32 states. We have a variety of programs and products and really decades of experience. So we remain confident in the value that managed care can provide to our state partners and our ability to support our states as they really navigate through any changes.
Andrew Witty : Thanks for the question. Krista, thanks so much. Just looking back to the pharmacy section. I think Patrick laid things out very well there, Erin, for you. But I also would just -- I was encouraged to see in the President's executive order earlier in the week a kind of an interest in really looking at multiple elements of the pharmacy value chain. I think one of the things that has been honestly most disappointing over the last year or two is the obsession with the role of the PBM versus everybody else in the system. And if you read the EO carefully, what you'll see in there are quite good sensible questions to explore what's going on either side of the PBM in terms of the manufacturers and also ultimately many of the providers in the network. And I think what you'll see from that is the PBM plays a unique role in trying to bring down drug prices for Americans. It does that at very, very narrow margins oftentimes taking very significant risk in the process. And is really the only participant in the system that has that it's the way a PBM wins more businesses by successfully bringing down drug costs for its clients and that's how it wins more accounts. That is not how the rest of the system operates. And I'm hopeful as the administration explores the questions that the EO raises that this will become a much more thoughtful review of how to reform the whole value chain and not simply one component where I think you can make very, very serious mistakes, which could really damage patient access. So I was encouraged to see that from the administration. Erin, thanks so much for the question. Next question.
Operator: And our next question comes from Andrew Mok with Barclays.
Andrew Mok: Hi, good morning. I was hoping to get your thoughts on the risks and implications of tariffs, particularly around the impact of pharmaceutical tariffs that are currently being contemplated by the administration.
Andrew Witty : Yeah, Andrew, thanks so much for the question. Obviously, it's a dynamic situation in terms of what may happen around pharmaceutical tariffs. Obviously, going to be a process now where the administration goes through its analysis and investigation. So we obviously don't know what may or may not come from that. But when we look at our potential exposure to that, we feel pretty good. In fact, I'd say better than pretty good in terms of the degrees of price protection mechanisms we have in preexisting contracts and also various pieces of legislation, which also limit the ability of manufacturers to pass price increases down through the system. So at this point, and again, given that we don't know what any tariff may or may not be, but when you look at the structure of the marketplace, we feel pretty well positioned for that, Andrew. Next question?
Operator: Our next question comes from Dave Windley with Jefferies.
Dave Windley: Hi, good morning. Thanks for taking my question, Andrew. I appreciate your comments about kind of the macro cost of healthcare in the United States. We have an administration that seems more focused on budget deficit reduction, which entails cutting to healthcare. I guess my philosophical question here is, why isn't modest, persistent underfunding of the system the right way to get those costs more in balance and to force innovation in the system and how does United operate in an environment that might bring that without having without having the snafus or whatever that like a V28 model brings?
Andrew Witty : So David, thanks so much for the question. And I think it's a good and deep question actually. So there's no question that what I think we need is continued strong innovation in new approaches of how to bring together different elements of the system to have a more patient centered impact on health care. One of the characteristics I think of all health care marketplaces, but perhaps particularly the U.S. is there is no shortage of innovation, but it tends to be point solutions, whether it's a new device or a new drug or a new model of care. These things tend to show up in very isolated ways. So we spend a lot of money on innovation in America, but we don't see the yield of that innovation. And I would argue that's because it's not brought together. We don't align incentives. We don't really rethink workflows. We don't try and center everything around what gives you the best outcome for the patient over the lifetime of the patient, not just this encounter or even this year. How do you make that patient or how do you give that patient the opportunity for maximum numbers of great health years? That for me should be the guiding principle and that's what value based cares about and it's what UnitedHealthcare is committed to innovate and drive behind. And I think we have made extraordinary progress in that. Now unfortunately, what we've seen through V28 is almost focus the price cut where the most innovation is going on. So you've seen this pressure come exactly into the program where historically the government has funded Medicare Advantage and created a very thoughtful system, which incentivizes participants to the only way a participant can win in Medicare Advantage is to incentivize, be able to deliver a great care experience and access experience for the member, release enough cost through efficiencies to provide benefits to members and then pay a rebate back to the government, right. So everybody wins in that system. And that was a very cleverly designed system by the government many years ago. It's been supported by multiple administrations of both directions since then. What we saw through V28 was really a kind of blunt instrument approach to just take money out of that system. And that's what's causing the disruption here. So I don't think any but we would never have any anxiety about say, look, we want to see the healthcare budget grow by less each year. But then we should look at the whole budget. We should look at the whole system and we should look at how we can use tools to do that. What we know is that Medicare Advantage costs less than traditional Medicare. We know that when a Medicare Advantage patient is in a fully delegated value based care managed clinic like Optum Health, they will save even more money for the system and they will have better personal experience, they have better clinical outcomes and the government spends less money. It's those sorts of integrated approaches, which we think are the response. And it's a bit I made that comment about the President's executive order on pharmacy. And I kind of invite the same. We should be thinking about the whole system and how we align the whole system, not simply looking at these kind of individual component approaches, which we've seen over the last few years. And I hope very much that just like the pharmacy agenda that the President is laying out for understanding that we might have a similar one here. And that would be very positive because the answer to your question is yes. We should be able to deliver great healthcare at lower cost with better experience, better clinical outcome for people and for the government. And that is what the mission of UHC is. And that is what the goal of value based care and Optum Care is also. Next question.
Operator: Our next question comes from Ben Hendrix with RBC Capital Markets.
Ben Hendrix: Hi, thank you very much. I wonder if we could touch briefly on Medicaid. Just wanted to get an update on what you're seeing from state renewals through April and if we're still on track to close that rate acuity gap by the end of the year.
Andrew Witty : Thanks so much for the question. I'm going to ask Krista to answer that for you.
Krista Nelson : Yeah, thanks for the question. We were encouraged with the progress that we made on rates in the second half of 2024, which really continued into our 1/1 rate cycle. And as John and Andrew both mentioned, overall the gap between acuity of the population and the rate funding is really narrowing with each cycle as well as through some off cycle adjustments that we have seen. We have -- it's really too early to call the rates on 7/1, but about 35% of our revenue renews in that 7/1 cycle. And with each cycle that base data continues to reflect more recent experience. And so we remain optimistic with the collaborative relationships we have with our states that over the course of the year that this gap will continue to narrow.
Operator: And our next question comes from Lance Wilkes with Bernstein.
Lance Wilkes: Great, thanks. Could you talk a little bit about the first quarter MLR impacts and maybe breaking out the impacts that were driven by the premium increases that you described and maybe any sort of deductible increases? But also were there impacts as a result of the way in which you're approaching prior authorization, any changes in that? And then do you have a sense as to maybe increased follow through from your house calls and primary care actions as far as getting follow-up visits tied to risk adjustment activity? And lastly, were there any one time good guys in the first quarter, which perhaps supported medical loss ratio and caused the distinction between 1Q versus guidance?
Andrew Witty: Thanks so much, Lance. John Rex.
John Rex: Good morning, Lance. Just to your last part, no, there were no one time good guys in the quarter that would have supported that. So a few things just to point out a bit. So to your first point on any shifts on preauthorization procedures or anything element like that impacting no, nothing from that element there. Tim noted that certainly we had a much higher in addition to the group, which was a big factor, we had a much higher level of wellness business in the quarter. Those aren't the factor though. They're super effective. They're not costly. They do drive specialty care. However, a lot of follow on specialty care. And that's what we don't know is was that was that something seasonal then? Is that a slightly altered seasonal pattern that so many that we saw so much activity in wellness visits in some populations, frankly, certain populations is at 2x the year ago levels of wellness visits, others about 50%, but it was broad based in terms of that activity. So that was certainly an element in there. An element well known to all of you also just the change in seasonality due to the IRA driven Part D changes. Think of that as about roughly 90 basis points of impact or so in the quarter also. So that would have been an element that versus kind of what you would have typically seen. And I think. I know you were well aware that was kind of be a factor as we moved into this. I'm not sure that was a factor that was the well anticipated in all the -- in kind of all the analyst models out there, for a lot of good reasons, but those IRA impacts in that zone. Certainly, kind of the Medicare funding reductions as you go into that second year V28 also impactful of that. Think of that roughly in the 60 basis point zone. So that I can go through a lot of elements there, but those are kind of the key factors. But far and away the increased utilization and the member profile elements that we've highlighted throughout the course of this call being by far the most impactful things in the quarter.
Operator: And our next question comes from Sarah James with Cantor Fitzgerald.
Sarah James: Thank you. I just want to circle back to the tariff question quickly. Are the penalties under the IRA for pharma manufacturers who raise price above inflation enough to protect you from tariffs pass through on Medicare? And I'm not sure if that implies to exchanges as well, but with those bids due earlier, like April to June, do you have to assume that tariffs are in place or do you think the states will give you some flexibility to submit two versions of bids with and without tariffs?
Andrew Witty : Listen, Sarah, thanks so much for the question. So as I said earlier, obviously, we don't know yet what if when might happen in this territory. So like you, we're watchfully waiting. As you alluded to, there's many kind of layers of government protection, if you will within the regulations that over the drug companies in terms of their ability to increase price above inflation. There are things like Medicaid best price protections, specifically in the Medicaid area, which would also have potential applications here. And then of course, we have our various Optum Rx, where relevant in this conversation have their own contractual price protection. So there are multiple layers of that. Obviously, we're going to be very carefully making sure that we bid in the context of that kind of mesh of protection and make sure that we do that as thoughtfully as we possibly can. But I just also just want to reiterate, like everybody else, we don't know yet what the reality of this is, but we're very attuned to it. And I think I've tried to share with you our sense that it should not be a significant exposure for us, but certainly not this year. And we'd be working very thoughtfully about bids and the rest as you suggest for next year. We have time for just one last question.
Operator: And our last question comes from Jessica Tassan with Piper Sandler.
Jessica Tassan: Hi, guys. Thank you so much for the question. I wanted to ask about -- so UHC has achieved really phenomenal growth in MA year-to-date, up 521,000 members through April, almost half of that growth has come from C-SNP plans. So just wondering if you all can elaborate on UHC's dominance in the C-SNP market? Do these plans offer the beneficiary? Why is UHC been so successful in this segment? And what does C-SNP enrollment mean from an economic perspective for UHC in 2025 and then over the long term?
Andrew Witty: Thanks. Jessica, thanks so much. I'll ask Bobby Hunter who looks after our M&R business to respond to that. Bobby?
Bobby Hunter : Yeah. Thanks, Jessica for the question. So I would say really just overall, we're very pleased with our year to date growth in Medicare Advantage. And as you know, we continue to be on track to deliver on the full year growth target of up to 800,000 members. The momentum we had in AEP carried over really nicely into OEP, including notably strong retention of our existing members, and then really diversified growth across our community HMO plans, full dual plans, and the plans you mentioned that are designed for members of chronic conditions. So really both from a mixed volume standpoint, we feel really good about where we sit in '25 and the outlook that that gives us around the membership growth. And I would just note really that the Medicare Advantage Plans that we offer, you know, the great work that we do from a value based care integration standpoint with a collection of our providers, both internal and external really position us well to manage these members, with chronic complex conditions. And we're very proud to continue to get to serve more of those members, as we progress throughout the year. Thanks so much for the question.
Andrew Witty : Bobby, thanks so much. And I'd like to thank everybody for all of your questions. We appreciate your engagement very much today. While we’re not satisfied with our performance to the start of 2025. I hope you heard today our determination to improve and our enthusiasm about the path forward. We remain deeply committed to the value based care strategy the company we believe that is there way to solve many of America’s healthcare problems both from a cost but most importantly from a patient experience and outcome perspective. And I think you many of you who know United well will also know and recognize that when we encounter an issue, we figure out how to work it and how to deal with it. And rest assured, we all at United are going to work our issues that we've encountered in the first quarter solve them. And you should count on us to continue to strive towards delivering for everybody we serve and to make sure that the growth of this company returns to the kind of ranges that you would expect of us. With that, I'd like to thank everybody for your time today and we appreciate it.
Operator: And ladies and gentlemen, this concludes today's call. Thank you for your participation. You may now disconnect and have a great day.